Operator: Good afternoon and welcome to Skyworks Solutions fourth quarter fiscal 2009 earnings conference call. This call is being recorded. At this time, I’d like to turn the conference over to Tom Schiller Investor Relations for Skyworks. Mr. Schiller, please go ahead, sir.
Tom Schiller: Thank you, Operator. Good afternoon everyone and welcome to Skyworks’ fourth fiscal quarter 2009 conference call. Joining me are Dave Aldrich, our President and Chief Executive Officer, Don Palette, our Chief Financial Officer, and Liam Griffin, our Senior Vice President of Sales and Marketing. Dave will begin today’s call with a business overview followed by Don’s financial review and outlook. We will then open the lines for you questions. Please note that our comments today will include statements relating to future results that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance we will discuss today are from our non-GAAP income statement consistent with the format we’ve used in the past. Please refer to our press release within the Investor Relation’s section of our company website for a complete reconciliation to GAAP. I will now turn the call over to Dave for his comments on the quarter.
Dave Aldrich: Thank you, Tom, and welcome everyone. I’m pleased to report that the Skyworks posted solid results in the September quarter, outperforming our addressed markets and delivering strong top and bottom line sequential growth while further strengthening our balance sheet. Specifically in the quarter, we delivered revenue of $228 million and that’s up 19% sequentially. We expanded our gross margins to 41%. We improved operating income to nearly 19% and we posted $0.24 of earnings per share and that’s up 50% sequentially and frankly a new company record. With respect to cash, we generated $70 million of cash flow from operations. We retired another $17 million of our 2010 convertible debt and we exited the quarter with $370 million of cash. Finally, we guided up 13-15% in the December quarter on a year-over-year basis with a 20% operating margin and a $1.00 of earnings per share annualized run rate. At a higher level, we’re benefiting from a few key strategic market trends and I’d like to walk through them briefly. First, the rapid growth of the mobile internet and increasing demand for always on connectivity. Particularly given the ubiquity of social networking applications and the proliferation of Smartphone of notebooks, net books, and embedded wireless devices. Second, the global migration to innovative smart grid and energy management solutions, as utilities and consumers seek to more efficiently utilize and manage gas, water, and electricity usage and optimize grid performance. Third, the emergence of a host of analog intensive applications spanning high definition television, automotive, CATV, wireless and wire line infrastructure, medical, military and industrial markets. At the same time, we’re continuing to make substantial progress along each of our strategic objectives and we’ve been speaking with you about these for many quarters now. Our objectives are to gain share in our targeted markets. Our objectives are to diversify our business through increased traction in adjacent analog markets. Finally, to execute operationally in order to deliver ongoing gross and operating margin improvement, as well as higher returns on invested capital. With regard to gaining market share and as we hope our results demonstrate, Skyworks is outperforming across the mobile internet spectrum from notebooks and data cards to Smartphone to entry level devices. On the high end, Skyworks is uniquely now supporting all top five top tier handset OEMs in all key Smartphone suppliers with a disproportionate share of the latter growth segment. In fact, according to Oppenheimer, the Smartphone category is expected to grow 21% in 2009 and reach 185 million units this year. In that growth, it’s expected to accelerate to 326 million units by 2011 and that’s a 33% compounded growth rate. I recall that these devices drive substantially more semiconductor dollar content as compared with traditional 2G and even 3G handsets. Social networking sites like Facebook, like MySpace, and Twitter are further fueling consumers’ demands for broadband network access to share streaming audio, video, and picture content. Perhaps most importantly, the Smartphone food chain, that is the food chain is highly successful with service providers such as AT&T, T-Mobile, Verizon, deriving highly profitable revenue streams from data services and other embedded wireless devices, Even during the darkest days of het recession. Their strategy is quite simple – place application-rich Smartphone in the hands of the consumer and both parties benefit. Consumer satisfy their thirst for real time mobile internet access, while carriers gain from ever-increasing RPU levels. As a result, the OEMs, our customers providing the hardware, derive increased value from their devices, which of course we populate with our solution. Now at the same time, we’re diversifying into new markets, the second element of our strategy. For example, we’re now participating on the infrastructure side of the mobile internet phenomenon as well. Here we’re now supporting the key market leaders like Cisco, Erikson, Wawa, ZTE, Alcatel Lucent, with our growing family of networking solutions. According to mobile network analysts from Informa, mobile data traffic volumes are set to ride 25 fold, 25 fold from current levels by the year 2012. As a result, mobile operators need to begin to install new bay station routers, back hall network equipment. Starting now, to avoid network traffic jams in the future, and ultimately to preserve their highly profitable data service revenue. Clearly over the long haul, there will need to be upgrades and expansion to existing infrastructure requiring increase in analog and mixed signal content. To that end, during the quarter, we’ve introduced a wide range of wire line and wireless networking and bay station solutions with several new higher margin products under development and entering our pipeline. We’re particularly excited about our strategic growth potential within smart grid applications. This is another targeted vertical market for Skyworks. To frame our market opportunity here, consider that there are 2.7 billion meters worldwide. 2.7 billion, according to IMS Research, of which only 8% are automated today. Accordingly, we see a massive retro fit in deployment opportunity as utilities seek to more efficiently manage their grid to the name of lower administration costs and of course high return on investment. Like the internet itself, smart grids are complex, multi-layered network of networks, and are increasingly interactive. This market landscape is made up of a wide variety of components, applications like sensors and controls, enabling us to leverage several key RF building blocks across a broad eco system of energy management suppliers. For us, these include I-Tron, Esco, Neptune, Landerson Gear, and Census. In support of products ranging from handheld meters, meter readers, to smart meters, to home automation systems, and in the latter case, home automation systems, we’re supporting both the access point in various nodes throughout the home like thermostats, air conditioners, and appliances via our Zigbee solutions. Of special note I think, just last week, the administration committed $3.4 billion of stimulus money for 100 smart grid projects in 49 states. As part of the funding, utilities are contributing another $4.7 billion to the projects, pushing total spending to $8.1 billion dollars. Our focus on this particular market segment began a few years ago and it sprang from our analog catalog business as customers sought custom management solutions from us. Okay, finally the third element of our strategy, is to continue to execute operationally. This aspect of our strategy has become even more or became even more important as we entered the economic downturn. In fact, our fab light manufacturing approach and our leaner cost structure allowed Skyworks to post record operating income in 2009 of $125 million and operating margins of just greater than 15%, even in the context of this market. I think perhaps most importantly we’re able to generate $210 million in cash flow from operations in fiscal 2009. This during the worst industry down cycle in recent memory. I believe our performance against this challenging backdrop speaks to the resolve of the Skywork’s team and frankly the strength of our business model. Now of special note, we are guiding to a 20% operating margin in the current quarter, in the December quarter. In longer range, we now see a path to operating margins in the mid-20’s and Don will comment on that further in a moment. So at a higher level, we are transforming Skyworks and are committed to creating a company that can rival some of the best analog franchises in terms of growth, in terms of diversification, in terms of profitability and cash generation. Perhaps most importantly, we’re entering this new and exciting phase with a very rich product pipeline, a broad sales channel, and demonstrated operational agility. All this towards creating shareholder value. I’ll now turn this call over to Don for his review.
Donald Palette: Thanks, Dave, and thanks again for joining us, everyone. I’ll first provide a quick summary of our fourth fiscal quarter results, then provide our business outlook, including an update on our projected tax rate. Finally, I’ll outline our new long-term operating margin target. First to our fourth quarter results. Revenue for the period was $228.1 million, up 19% sequentially, and exceeding our updated revenue guidance range of $220 to $225 million provided in September. Gross profit was $93.4 million or 40.9% of revenue, 40 basis points sequential expansion and that was driven by continued factory process and productivity enhancements, product and yield improvements, and finally double digit year-over-year material cost reductions. Operating expenses were $50.9 million, of which R&D was $29.3 million and SG&A was $21.6 million, yielding 42.5 million of operating income, and a 18.6% operating margin. Our net interest and other expense for the quarter was $410,000 of expense, while taxes were $255,000. Note, both our other expense and cash taxes were favorably impacted by one time cash benefits equating to one penny of earnings per share in total. Incidentally, you’ll note that based on the strength of our 2009 financial performance and our earnings outlook, we reversed approximately $30 million of our deferred tax asset valuation allowance and our GAAP income statement with no benefit to our non-GAAP results. As a result, our GAAP net income was $56 billion, or $0.32 of diluted earnings per share, while our non-GAAP income was $41.8 million or $0.24 of diluted earnings per share, a new company record. Turning to the balance sheet, we exited the quarter with cash and cash equivalents of $370 million, a $62 million sequential improvement in our cash balance even after the retirement of $17 million of 2010 convertible debt. During the quarter, we $70 million in cash flow from operations, we recorded $20 million of depreciation and we invested $15 million in capital expenditures. Now to our business outlook for the fourth fiscal quarter of 2010. Although we continue to remain cautious on the broader economy, based on our improving order visibility and backlog strength, we anticipate 13 to 15% year-over-year revenue growth driven by mobile internet, energy management, and diversified analog applications, as Dave mentioned earlier. Assuming $240 million in revenue, we plan to expand gross margin to the 41.5 to 42% range with operating expenses of roughly $51.5 million enabling us to deliver a 20% operating margin. Below the line, we anticipate $700,000 in expense for net interest and other expense. As for taxes, recall we previously guided to a 15% cash tax rate beginning in fiscal 2010, but with the implementation of tax initiatives in the first half of 2010 and the use of our remaining R&D tax credits, we are reducing our estimated fiscal 2010 cash rate to approximately 8%. In turn, you can expect Skyworks to achieve $1 per share annualized run rate off of a base of 179 million shares beginning this quarter and with further improvements planned as we progress into physical 2010. In fact, since we are on track to achieve our financial model, today we are outlining a new operating margin target for Skyworks. Given our top line growth plans, scale, product gross margin improvements, and operating expense leverage, we now have a path to operating margins in the mid-20’s. We believe this longer term model is highly achievable and strikes the right balance between gaining market share, enhancing margins, and most importantly maximizing free cash flow dollars. That concludes our prepared remarks. Operator, let’s open the lines up for questions.
Operator: (Operator Instructions) Our first question comes from Uche Orji - UBS.
Uche Orji – UBS: First question is about your long-term margin. Just wondering, in a sense, what is the gross margin expectation and how much revenue growth you would need for this and also if you have any timeline in mind to achieve this target.
Donald Palette: As we have articulated over the past year or so, our previous targeted model of $240 million in quarterly revenue that we were going to be at 42% gross margin and 20% operating margin. As our Q1 guidance indicates, we’re expecting to achieve these targets this quarter. So given our future product mix, new markets, and the value of our new products, we see a path to the mid-20’s for operating margin. This expansion is going to be a combination of both gross margin expansion and leveraging our operating expense base, but right now we’re just not providing the detailed elements today, but we certainly will over time.
Uche Orji – UBS: Secondly, who was the ten percent customers was this quarter and who was your largest customer?
Dave Aldrich: Sure, we had two ten percent customers this quarter. We had Samsung, Sony, Erikson. Just want to note that LG and Motorola, all those were in the high single digits for the quarter, with Samsung being the top customer for the quarter.
Operator: Our next question comes from Ittai Kidron - Oppenheimer & Co.
Ittai Kidron - Oppenheimer & Co.: First a household question, Don. You retired some of the debt. How should we think about the share count evolving here? I don’t know if the convert is in the outstanding shares count here or not. Second, with regards to your mid-20’s. I understand it’s a long term, but does that require fundamental change in mix between your linear and sale, that on the current mix just by continuing to drive your leverage you can get there or is it really a product mix that needs to change?
Donald Palette: I’ll address the first question. We guided $179 in Q1. As far as the converts, the debt that is outstanding through any of the quarter ends we’ve just gone through, there already is dilution for some of those converts space in the fact that they have been in the money. On a go-forward basis, they have cash settlement options. So we have the option of when the debt matures, we have this first maturing March 1 to either settle an equity or pay in cash. Our intention is to pay it in cash. So I wouldn’t expect any future dilution.
Dave Aldrich: With respect to the long-term model that Don outlined, I’d really call it frankly more of a mid-term model. If you go back and look at historically with Skyworks, as we’ve increased our revenue, we’ve had a pretty consistent model where we’ve dropped through a fairly healthy percentage of that increase in revenue to the bottom line. It’s been a combination of gross margin and operating income expansion. So that’s really what we see. It is not a fundamental shift in the overall business, but it does take advantage of some of the newer products and new markets and the degree of diversification we’re now having as we enter 2010 and the associated high contribution margin those products bring, but they’re identified programs.
Ittai Kidron - Oppenheimer & Co.: Follow-up question regarding your meter of business. Maybe, Don, you can just qualify a ballpark standpoint, how much was that this past quarter and what is the run rate you think you can get to exiting next fiscal year?
Liam Griffin: Sure, Ittai. This is Liam. Well that business, as you know, is really in the early stages and we believe to be a meaningful and long-term growth cycle. We were up sequentially in September. We’ll be up even more in the current quarter, the December quarter. Right now it’s the fastest growing segment of our analog mix signal business and roughly about 15% of that portfolio.
Operator: Our next question comes from Steve Ferranti - Stephens Inc.
Steve Ferranti - Stephens Inc.: I’m wondering if you guys could give us your sense of what inventory looks like out there these days. Certainly been some anecdotes of some pockets of inventory and some corrections going on. I’m wondering if you could describe to us what you’re seeing.
Dave Aldrich: Our visibility has improved somewhat, I’ll say, from where it was certainly three to six months ago. Our market, to stabilize, and inventory is normalizing after there was some restocking that occurred again here in the last six months. So clearly there are pockets of concern. This market, as you know, is a bit choppy. I will say this, that when we provide our guidance and our commentary in the prepared remarks is that we’re really discussing very well defined and specific program ramps and it’s helping to somewhat insulate us from some of the volatility that you’ve seen out there. In any event, we do see choppiness, but we also are fortunate to have the clearly defined ramps.
Steve Ferranti - Stephens Inc.: A quick follow-up for me. Can you tell us what percentage book you are to the mid-point of your guidance?
Dave Aldrich: In an attempt to be conservative, we’re fully booked to the guidance.
Operator: Your next question is from Aalok Shah - D.A. Davidson & Co.
Aalok Shah - D.A. Davidson & Co.: I’ll follow up on Steve’s question there. In terms of where you see some pockets of inventory, can you describe that on a geographical basis?
Dave Aldrich: As I said, clearly there’s been a lot of discussion about Korea and one company in particular, a customer of ours, but I must say that’s where the concern has been. That’s been registered with us, we think over the last quarter, but I think in that case we’re really quite fortunate we have some base partnerships there that are allowing us to take some share, both in the case of Wideband CDMA and Edge and GPRS where we have a strong position. So we haven’t been subjected to the same level of volatility as apparently others have experienced. Having said that, we’re modeling that customer even with these ramps to be flat to modestly up in the December quarter.
Aalok Shah - D.A. Davidson & Co.: In terms of the mix to try to get to the mid-20 type of operating margins, does it require your linear business to become a bigger percentage of total revenue?
Donald Palette: When we built this model, just like we did the previous model, we never assumed any shift in the mix between our diversified analog business and our handset business and you can assume that going forward. That is the way we’re looking at the model. So any change in that mix is going to be upside for us.
Dave Aldrich: This isn’t, the handset business that you might have thought about one, two, certainly one year ago. Even within our handset business, we have some really margin-rich and very complicated sole sores, mostly custom devices in design. So when we talk about Smartphone, when we talk about some of these really sophisticated mobile internet devices and various form factors, the dollar content is higher but so are the contribution dollars.
Operator: Our next question is from Richard Shannon - Northland Securities
Richard Shannon - Northland Securities: My question regards around expected ASP declines for next year versus how they trended in 2009 thus far and specifically on 3G. Any change in that expected pricing curve?
Dave Aldrich: Certainly 2009, given the recessionary environment, particularly the front half of the year was difficult from an ASP perspective. We see now pricing stabilizing now with inventory being rebalanced and overall market conditions improving slightly. Going into 2010, I think we’re going to do pretty well with respect to ASPs. It will be less erosion for us in our current model. Some of that comes from diversified analog, which tends to have a much better ASP profile and also significant ramps in 3G. We’re in very good position with respect to price and we should be coming out of that quite strong.
Richard Shannon - Northland Securities: My follow-up question is on your transition to six inch substrate manufacturing. Do you have any update on the timing when you expect that to switch over and what kind of an impact would that have on your outside foundry partners. Do you expect to take relatively more away from them as you do so or is there going to be some sort of balance in there?
Donald Palette: We have been producing both four inch and six inch wafers over the past several quarters as we are ramping the new six inch line. Our full cutover plans for approximately mid-year. This year there’s been no drag on the margins during that time and when it’s fully up and running the second half the year, we do expect some of that margin expansion as a result of that. As far as our wafer, the foundries providing us a wafer supply, that’s a critical part of our overall manufacturing strategy. It’s a redundant source of supply for us, it’s critical. They’re going to continue to produce some volume and as we ramp the overall business, there’s going to be the right kind of mix to drive the margin enhancement as we go forward.
Operator: Our next question is from Anthony Stoss - Craig-Hallum Capital
Anthony Stoss - Craig-Hallum Capital: Can you give us the percent of your revenues that was the linear products group?
Donald Palette: Sure. The handset was roughly 80% this quarter, while the linear, the diversified analog business, was about 20%.
Anthony Stoss - Craig-Hallum Capital: Any geographic strengths that you saw in the quarter and any changes to that December or going forward?
Dave Aldrich: Sure. We have seen in general performance out of the 8-pack market. So particularly China, also Korea, and some of our partners in China specifically MediaT support not only local markets, but also some emerging economies in India, Africa, Southeast Asia. So we have seen some strength there. When we look at the December quarter, we’ve modeled those markets to be very conservative and not a significant part of the growth this quarter, but we still consider them meaningful for 2010.
Donald Palette: I think with respect to energy management, some of the diversified non-handset businesses, we are seeing strength in N.A. and U.S.
Anthony Stoss - Craig-Hallum Capital: March visibility. We’re hearing from a lot of our contacts that it may not be down as much as seasonal. Any thoughts.
Dave Aldrich: I think it’s a little too early to comment on March, frankly.
Operator: Your next question comes from Edward Snyder - Charter Equity Research.
Edward Snyder (Mike Alexander) - Charter Equity Research: This is Mike Alexander in for Ed Snyder. The cash generation this quarter was very strong and I just wondered as you build up cash, what is the minimum level that you need to keep on hand and once you’ve paid off the debt, what are some of the uses of cash that you’re thinking?
Donald Palette: We have done a very good job over the past year and a half and continue to strengthen the balance sheet. If we step back and you look at our working capital fluctuations and to be somewhat conservative, you know, we view that in the somewhere in the $125 to maybe $140 million range with the way the business is structured today. That’s kind of our baseline cash. Keep in mind, we have retired $120 million of the debt over the last 12 months. We have, after buying back $17 million of the $50 million that’s due March 1. So coming up in March 1, we have another $33 million that we’re going to pay and at that point we are going to have a healthy cash reserve balance to entertain options of whether we go out and buy additional debt, whether we buy back stock, or any other kind of critical investments that we might see appropriate.
Edward Snyder (Mike Alexander) - Charter Equity Research: As my follow-up, I wondered if you could update us on the Axiom business that you acquired last quarter. Is there any initiatives on there or is it just kind of chugging along?
Dave Aldrich: First of all, we’re very happy with the acquisition. We’ve got some really good designs IP and the team while small is integrating nicely with the rest of Skyworks. The revenue has been relatively small, but I think as we add that IP to our arsenal, we’re really able to create some new designs that are pretty slick and we’ve been able to address some customers. There is a customer set that is addressing segments of the ultra low-end market that they’re really not attractive to us, that now our margin requirements, we’re able to address that. So we’ve been able to expand our ultra low-end market.
Operator: Your next question comes from Edward Snyder - Charter Equity Research.
Edward Snyder (Mike Alexander) - Charter Equity Research:
Operator: Your next question comes from Nicole Conway in for Tore Svanberg - Thomas Weisel Partners
Nicole Conway in for Tore Svanberg - Thomas Weisel Partners: Going back to your guidance, it appears maybe conservative being fully booked to your number. Curious if there’s anything behind that if you see indications of double ordering or anything like that?
Dave Aldrich: No, I wouldn’t read anything more into it than we’re just attempting to be prudent. This is what we normally do. We try to guide with the highest confidence that we can and so we’ve done nothing different this time.
Nicole Conway in for Tore Svanberg - Thomas Weisel Partners: As a follow-up, I was curious about the potential mix shift toward your linear business. Could that potentially happen like a 20-10 event where you start to see a shift toward that or do you expect that to be further out?
Dave Aldrich: The shift is getting a little bit blurred, because when we talk about the mobile internet for example, those are quite a diversified suite of product. They’re high dollar content. In most cases, they’re high margin. And so, it’s not your grandfather’s PA, for example. So it’s a little bit blurred. We haven’t anticipated any major shifts as we provide this guidance. There are certainly opportunities for us to move what has been kind of a catalog-standard business that’s now being augmented by some we think some pretty exciting verticals like smart energy, smart grid. So we think there’s an opportunity to grow it faster than the handset , but with this mobile internet phenomena and the much higher dollar content we’re achieving in smart phones and some of these other devices, these two businesses are expected at least in terms of our modeling to grow in relative lock step with one another.
Operator: Your next question is from Nathan Johnson - Pacific Crest Securities
Nathan Johnson - Pacific Crest Securities: Curious if you could provide an update on order trends, particularly over the last few weeks as new platforms from OEMs are hitting the market. Are you seeing more confidence out of your customers in terms of what their expectations for Q4 are or you seeing potentially some nervousness going forward?
Liam Griffin: Order trends actually look quite good at this point, but at the same time, as Dave mentioned, we’re being reasonably cautious. We are looking at the signals across the landscape here in the mobile eco system that we sell into. We are seeing, again, a mix shift here. We have certain OEMs regaining share and others maybe a little more flattish, but in aggregate we look to be modestly up as we’ve outlined and order flow supports our guidance.
Nathan Johnson - Pacific Crest Securities: Was hoping to get an update on the ramp at Nokia. I know you guys have been looking to have them as a ten percent customer and I know you’ve also talked about looking eventually to get to be at least a third of their business. Where do you think you can get in fiscal 2010, do you think you can get halfway to that goal of a third of their business?
Liam Griffin: Absolutely. We are very much committed to the share gains that we’ve outlined with Nokia being a third of their business. We believe that’s an event that is solely within our control. We have the programs and the designs well positioned to execute on that end. So I would say a 15% position would be a fair target if not low for 2010 at Skyworks.
Dave Aldrich: I would add that it is really our goal not only to penetrate and to get closer to the leaders, but also to become a very close partner to the leading baseband manufacturers. So as a result, we really are striving to be less dependent on any one OEM and so as we’ve seen pretty massive share shifts in the emergence of the Smartphone sector, for example, we’ve been able to ride through that, because we don’t have the kind of concentration that I think many have experienced in this industry in the past. That’s really a goal of ours. We want to be a third of their business and if that volume is somewhere else, then we hope to have that business as well.
Operator: There appear to be no further questions in the queue. I’d like to turn the call to…well we do have a reprompt from Aalok Shah - D.A. Davidson & Co.
Aalok Shah - D.A. Davidson & Co.: Don, just one quick question. On the balance, said their income line went up a little bit. Can you describe what that was?
Donald Palette: Sure, that was the premiums that we paid on the converts. Recognize that we bought 17 million principle, but what drives the price of the converts is the underlying shares. So whatever the market price is, you link that back to the conversion price and then there’s a premium because we’re trading above the conversion price. That’s all that that was.
Operator: And we do have a follow-up from Ittai Kidron - Oppenheimer & Co.
Ittai Kidron - Oppenheimer & Co.: Don, a question for you. Your accounts payable have increased sequentially quite significantly. Are you not paying your bills? Maybe you can give us a little bit more color into that.
Donald Palette: No, we track, there’s a metric. It’s our day’s payable outstanding. It’s sort of like a DSO measure for how you track how quickly sales and there hasn’t been any dramatic change in our days outstanding over the last three or four quarters. There’s nothing different going on there.
Operator: And we return to Cody Acree – William Financial Group
Cody Acree – William Financial Group: One quick one. Market share versus market projectory. Obviously outpacing your peers. What’s your take on driver here? Is it you or is it the market?
Dave Aldrich: It’s really a combination. There are clear areas where we have been fortunate enough to take some share through the efforts with our baseband partners and with some of the products that we fielded here over the last several quarters. So we are taking some share in some sectors, but I think equally if not more important is the market is changing and we work very hard to field designs that are mostly highly customized, highly specific for the application, and as a result more often than not, and more often than ever in the past for our company, we are sole sourcing these applications. So it’s more of a mix phenomena, but we are taking some share as these platforms are refreshed.
Operator: With that, there are no further questions in the queue. I’d like to turn the call to Dave Aldrich for additional or closing comments.
Dave Aldrich: Thank you. That concludes our cal today and on behalf of the entire Skyworks team, thank you for your participation. We look forward to seeing you at upcoming conferences and on deal road shows.
Operator: This does conclude today’s conference call. We do thank you for your participation.